Operator: Good morning. My name is Judy, and I will be your conference operator today. At this time, I would like to welcome everyone to the Keyera Corp. 2017 Year-End Results Conference Call. [Operator Instructions] Thank you. Lavonne Zdunich, Director of Investor Relations, you may begin your conference.
Lavonne Zdunich: Thank you, and good morning. It's my pleasure to welcome you to Keyera's 2017 year-end conference call. With me today is David Smith, President and CEO; Steven Kroeker, Senior VP and CFO; Bradley Lock, Senior VP of the Gathering and Processing Business Unit; and Dean Setoguchi, Senior VP of the Liquids Business Unit. In a moment, David will provide an overview of the year followed by an operations update from Brad and Dean. Steven will provide additional information about our financial results and then we will open the call for questions once we have completed our prepared remarks. Before we begin, however, I would like to remind listeners that some of the comments and answers that we will be providing today speak to future events. These forward looking statements are given as of today's date and reflect events or outcomes that management currently expects to occur based on their belief about the relevant material factors, as well as our understanding of the business and the environment in which we operate. Because forward looking statements address future events and outcomes, they necessarily involve risks and uncertainties that could cause actual results to differ materially. Some of these risks and uncertainties include; general economic market and business conditions, fluctuations in supply/demand, inventory levels and pricing of natural gas, NGLs, isooctane and crude oil, the activities of producers and other industry players, our operating and other costs, the availability and cost of materials equipment labor and other services essential for our capital projects, contractor performance, counterparty risk, governmental and regulatory actions or delays, competition for, among other things, business opportunities and capital and other risks as they're more fully set out in our publicly filed disclosure documents available on our website and SEDAR. We encourage you to review the MD&A which can be found in our 2017 year-end report published yesterday and available on our website and SEDAR. With that, I will now turn it over to David Smith, our President and CEO.
David Smith: Thank you, Lavonne, and good morning everyone. Keyera had another successful year in 2017 and it was primarily due to the performance of our core fee for service businesses and contributions from our capital projects completed over the last few years. Our key financial metrics all increased over the prior year with adjusted EBITDA of $617 million, distributable cash flow of $510 million and net earnings was a new record at $290 million. The liquids infrastructure segment once again generated record results and for the first time contributed the greatest amount to Keyera's annual operating margin. These results were driven by increased demand from our condensate services, the completion of the Norlite pipeline and high utilization of our expanded fractionation capacity. Our gathering and processing volumes steadily increased throughout the year, as drilling activity recovered from the lows of 2016. And our marketing team executed well on our seasonal propane strategy resulting in strong fourth quarter results. With confidence in our business outlook, we increased our dividend by 6% in May. This was Keyera's 16th consecutive dividend increase since going public in 2003, and represents an 8% compound annual growth rate in dividends per share over that period. Steven will speak more about our financial results later in the call. As our 2017 results demonstrate, demand for Keyera's essential services continues to be strong and we are making great progress on our major capital projects. In mid-2017, the Norlite pipeline was completed and began generating incremental cash flows. At the Base Line Tank Terminal at Edmonton, we recently placed the first four tanks into service with remaining eight tanks on track to be phased in throughout 2018. Our Keylink NGL gathering pipeline system is on schedule for completion in the second quarter. The liquid handling expansion at our Simonette gas plant is also on track to be completed in the second quarter. And our new Wapiti gas plant and North Wapiti pipeline system are scheduled to be operational in 2019. All of these investments position Keyera for future growth in some of the best areas of the Western Canada sedimentary basin. I will now turn it over to Brad Lock who will discuss our gathering and processing business unit results.
Brad Lock: Thanks David. The gathering and processing business unit delivered an operating margin of $275 million in 2017 with processing volumes steadily increasing through the year. In the fourth quarter, gross processing throughput averaged 1.5 to 6 billion cubic feet per day, a 12% increase over the same period in 2016. Although natural gas prices in Canada were weak in 2017, prices for crude oil and natural gas liquids strengthened in the second half of the year, further supporting an increase in drilling activity across the liquids-rich areas of Western Canada sedimentary basin. The liquids-rich Montney and Duvernay development area continue to be the major area of focus for producers. For Keyera, this resulted in new wealth high ends and increased utilization at our Simonette gas plant which achieved record throughput volumes in 2017. As a result of the increased activity in this area, we have multiple capital projects underway at our Simonette gas plant. We are expanding the liquid stabilization capacity, enhancing the interlock liquids handling capability, and adding asset gas injection facilities. These projects are expected to help enhance producers netbacks while providing additional long term growth opportunities for Keyera. Construction of our Wapiti gas plant near Grand Prairie, Alberta continues to progress well. The site is clear, piling and foundations are nearly complete, storage vessels are being constructed and fabrication and erection of major equipment continues. Phase 1 of the Wapiti gas plant include $115 million cubic feet per day of sour gas processing capacity and is backed by agreements with Paramount Resources Limited. To extend the plant's captured area north of the Wapiti River, we're also developing the North Wapiti pipeline system that includes a 12 inch sour gas gathering pipeline and 8 inch condensate and water pipeline and a compressor station. The pipeline system is underpinned by a long term, take or pay agreement with privately owned Pipestone Oil Corporation. Both projects are expected to be in service in 2019. Altogether, the approved projects at our Simonette and Wapiti gas plants totaled approximately $800 million. Keyera has an excellent understanding of the infrastructure that will be required to develop the Montney and Duvernay in a safe, cost effective manner that supports producers netbacks and respects community and landowners interest. As a result, we are considering expanding the processing capacity at the Simonette gas plant and sanctioning Phase 2 of the Wapiti gas plant. We continue to have discussions with existing and new producers in the area to understand their development plans so we can align our further capital investment decisions with their production profiles. The liquids-rich Spirit River and [Duvernay] geological zones in West Central, Alberta are also experiencing increased activity. In late 2017, Keyera entered into an agreement with producer active in Duvernay to construct a new 10 inch sweet gas pipeline which connects our Strachan and Ricinus gas plants. This will allow incremental volumes to flow to Ricinus proposed asset under a long term take or pay arrangement. The pipeline not only supports Keyera's objective of maximizing throughputs of their facilities by enhancing plant connectivity but provides area producers with added flexibility, efficiency and low cost processing solutions. We are targeting an in service date for the pipeline in the second quarter of 2018, to coincide with the start of the Strachan plant turnaround that is currently scheduled for June. This will allow us to offload volumes from Strachan to Ricinus for processing during the turnaround. I will now turn it over to Dean to discuss the liquids business unit.
Dean Setoguchi: Thanks Brad. Liquids business unit also performed very well in 2017. Liquids infrastructure segment generated a record operating margin of $285 million, up 16% over the prior year. These results were driven by increased demand for our condensate services, start up of the Norlite pipeline and related take or pay contracts and incremental fractionation volumes. 2017 was the first full year of operations for second fractionation facility in Fort Saskatchewan. Overall utilization for the two KFS frac units which have a combined net capacity of 50,000 barrels per day with approximately 91% for the year. Keyera operates an industry leading condensate system in Western Canada and a volume of condensate delivered through our systems grew by 21% in 2017, compared to the prior year. We continue to enhance this network and over the last eight months, we have added the Norlite pipeline, new condensate storage tanks at Keyera's Edmonton Terminal, as well as connections to the Northwest Duvernay refinery and Pembina's Canadian diluent hub. In 2018, we expect to complete the South Grand Rapids pipeline which will add additional capacity between Edmonton and Fort Saskatchewan to meet producer diluent needs. The demand for condensate continues to grow in Alberta. To support this growth, in the fourth quarter of 2017, we signed two new agreements for condensate storage services and recently secured two new shippers on both Norlite pipeline and Keyera's Fort Saskatchewan condensate system. These commitments our long term take or pay contracts that increase the utilization of our existing capacity and begin generating incremental cash flow in 2018. Also adding incremental cash flow to liquids infrastructure segment in 2018 is the Base Line Tank Terminal. As David mentioned earlier, the first four tanks are now in service with remaining eight tanks to be completed throughout 2018. To position the liquids infrastructure business for future growth, in 2017, we acquired almost 1,300 acres of heavy industrial zones under their plan strategically located in Alberta's industrial heartland. We continue to develop our underground storage Cavern capacity and entered into a 20 year midstream agreement with Chevron Canada and their partner KUFPEC to process 50% of the natural gas liquids from their Kaybob Duvernay development. Assets and service agreements like these provide Keyera with a strong foundation for the future. Marketing segment continues to contribute to Keyera's integrated value chain during the year, generating realized margins of $128 million compared to $137 million in 2016. Results were primarily affected by a lower isooctane contribution due to the nine week unscheduled outage at AEF in the first half of 2017, and higher average butane feedstock prices relative to the prior year. After completing the necessary periods of AEF, the facility has been running very well. In early 2018, we experienced some challenges with our rail service causing us to operate AEF at reduced levels. We are currently working on solutions with of our service providers to restore shipments of isooctane to normal levels. Keyera's marketing group also manages the sale of propane, butane and condensate. In the fourth quarter propane generated strong margins as we executed on our strategy of utilizing a storage assets to build propane inventory during the summer and then leverage our transportation assets and logistics expertise in the winter to sell inventory at seasonally stronger prices. I'm pleased with the liquids business unit's performance in 2017 and look forward to 2018 as we ramp up our new capital projects and continue to look for opportunities to increase shareholder value. With that, I will turn it over to Steven to discuss the financial results in more details.
Steven Kroeker: Thanks Dean. As mentioned earlier, we had a successful year with our key financial metrics all increasing over 2016, even with a nine week unscheduled outage at AEF in the first half of the year. The strong 2017 results were driven by a record operating margin from the liquids infrastructure segment, solid performance of the gathering and processing segment and a strong contrition from marketing despite the unplanned outage at AEF, as previously discussed by Dean and Brad. Net earnings for the year were record $290 million compared to $217 million in 2016, mainly due to higher operating margins from the liquids infrastructure segment. Adjusted EBITDA was $617 million compared to $605 million in 2016 while distributable cash flow was $510 million or 11% higher than the prior year. Distributable irritable cash flow in 2017 benefited from a strong operating margin generated by liquids infrastructure segment and lower maintenance capital. Maintenance capital in 2016 included the cost associated with the scheduled turnaround at AEF. On a per share basis, distributable cash flow for 2017 was $2.17 representing a 5.5% increase from the prior year. Keyera announced a 6% dividend increase in May 2017 and continue to have a conservative payout ratio averaging 61% for 2017. Keyera's through fee for service based business segments more than covered our annual dividend rate for shareholders in 2017. In 2017, Keyera invested $658 million mainly related to the Norlite pipeline, Simonette liquids handling expansion, Base Line terminal, Keylink and Phase 1 of the Wapiti gas plant. With respect to 2018, we plan to invest between $800 million to $900 million on projects that are already underway, as well as on the acquisition of 50% interest on the South Grand Rapids diluent pipeline. Our 2018 maintenance capital budget is forecasted to be between $40 million and $50 million and includes turnaround at Strachan, Nevis and Brazeau North gas plants. Cash taxes for 2018 are now estimated to be between $40 million and $45 million and we estimate Keyera's tax pools to be approximately 2.2 billion as of December 31, 2017. In the second half of the year we increased our financial flexibility by announcing two public BBB investment grade corporate credit ratings from DBRS Limited and S&P Global. And we also completed the successful common share offerings that generated gross proceeds of 494 million. As of December 31, 2017 our net debt to EBITDA ratio was 2.26 times. This financial flexibility positions us well to execute the $1.6 billion in announced growth projects we currently have underway, while maintaining the flexibility to pursue opportunities as they arise. That concludes my remarks. David?
David Smith: Thanks Steven While the past few years have been difficult for many of our customers and business partners, I'm proud of Keyera's teamwork and accomplishments. Over the past three years we have placed into service $1.6 billion worth of or capital investment projects and increased our distributable cash flow on a per share basis by 14%. Since the downturn in late 2014, we have reduced operating cost and our gathering and processing segment for the benefit of our customers. We have continued to enhance our industry leading condensate hub by adding more receipt and delivery points. We have sold non-core assets such as our Paddle River gas plant and [indiscernible] pipelines. We have strengthened our financial flexibility by obtaining two investment grade corporate credit ratings. We also continue to focus on operational excellence. Our goal is to consistently execute our business strategy while delivering first cortile health safety and operational performance, before actively managing our environmental responsibilities, achieving higher reliability and leading cost performance. In 2017 our operating gas plants achieved 97% reliability, which is a tremendous accomplishment and very important to our customers. We take a long term view of our business and as the industry shows signs of recovery, Keyera is well positioned for growth. Our assets are strategically located within the Western Canada sedimentary basin above some of the most economic liquids-rich geological zones. And we continue to expand our presence in the Montney and Duvernay areas. As oil sands production continues to grow, our extensive and reliable condensate system provides producers with an effective way to source, store, and transport their condensate. Our balance sheet is strong and we continue to pursue opportunities to generate shareholder value balancing risk and reward expectations. On behalf of Keyera's Directors and Management team, I would like to thank our employees, customers, shareholders and other stakeholders for their continued support. With that, I'll turn it back over to the operator. Please go ahead with questions.
Operator: [Operator Instructions] Your first question comes from the line of Linda Ezergailis from TD Securities. Your line is open.
Linda Ezergailis: Can you give us some more context around your condensate operations. How active are you in discussions right now for further contracts or do you prefer to keep a certain amount of your operations as spot for flexibility, in case of disruptions or you know to keep some optionality there. And did the new contracts - were they additive to your business or were displacing some spot activity?
Dean Setoguchi: Good question. The condensate system - one thing that we have done over the last several years is we have made some significant investments to our condensate system including the capacity between Edmonton and Fort Saskatchewan particularly when we add the South Grand Rapids pipeline to our asset base and put that into service. Also the fourth condensate things at Edmonton and the additional storage that we've added at KFS. And I also mention the Norlite pipeline as well this whole system as added a lot of extra capacity. So we are constantly working with oil sands producers and their needs to continue to bring more volume and business to our system, and we expect that to continue to grow over time and with minimal capital investment. So again we believe that the returns generated from those assets will hopefully continue to increase over time.
Linda Ezergailis: And with Norlite coming into service, is that accelerated your discussions are would we expect kind of regular tempo of ramp up as you describe maybe commensurate what new production coming online?
Dean Setoguchi: Yes, we certainly hope. So we are always actively talking to any parties that need transportation - needs long haul transportation needs for diluents. So we are very happy to sign two customers that are going to commence. They are using our services this year and we are talking to others so we will continue those discussions and certainly expect over the short medium long term to add more business to the pipe.
Linda Ezergailis: Now maybe moving on to your gas processing business, I guess there is a lot of talk about the potential for a bottleneck again this coming summer. Can you give us a sense based on your discussion with your customers in your captured area, what do you see as the volume outlook for the balance of the year and I guess activity levels beyond this year?
Brad Lock: I think certainly as we look into 2018, we are cautious about the continued rate of growth some of the bottlenecks that we have seen in the past years, we certainly expect to continue and the forward curve for gas certainly shows some softness in pricing issue getting into summer. So we will certainly worry about. That being said, we’ve been very pleased with the drilling activity that is been going on through the winter. While producers have recently announced some budget cuts for drilling activity through 2017 into 2018 has been as strong or stronger than it was last year. So that certainly bodes well for volume growth as we look forward. It's one of those things we try to stay in tune with our producers and understand their needs and make sure that we can provide them the service if and when they need it and respond to the market as a kind of hold.
Linda Ezergailis: Maybe that's a segue to my follow-up question with respect to potential for future projects. You know Wapiti Phase 2 and maybe this Simonette expansion possibilities as well. Are you increasingly optimistic that you can meet your customer needs through some sort of FID and what sort of timing are you thinking of might be possible another factors that play that you need to seen before you commit to those projects?
Brad Lock: I think it's really - as we mentioned it's just staying in tune with producers development plans. They are also certainly vary of commodity prices and managing their budgets. The advantage up in both the Wapiti area and the Simonette area is condensate and NGLs play a much bigger piece of the producer netbacks and gas due. So consequently their producers are certainly more optimistic up in that area because of the added value that they get from the liquid side. So we continue to work with them. I don't have a timing as to when we think we might be able to announce those but certainly discussions continue to progress positively.
Operator: Your next question comes from the line of Rob Hope of Scotiabank. Your line is open.
Rob Hope: The first is just on the potential for M&A in the basin. When you look at your strength and balance sheet and the potential that your producer customers could require some capital, are you seeing an uptick in potential opportunities to acquire infrastructure?
David Smith: I think we are always on the lookout for acquisition that fit our criteria and I think it's fair to say that in the environment we have been in last three years, a number of producers have been looking at monetizing facilities as one way of raising funds for drilling activity in the low cash flow environment. Having said that, I think we're pretty disciplined and we are kind of picky I guess I would say with respect to the kinds of assets that fit our criteria. So if the right thing comes along, we will certainly look at it seriously, but you know as I say we have a pretty well developed discipline around what makes sense and what doesn't. Beyond that it's kind of hard to comment on any specific, it's just not appropriate.
Rob Hope: And then the second question regarding propane, there is some disclosure in the M&A that on an annual basis propane margins remain relatively small to Keyera's marketing business. And I do understand that there is a summer, winter kind of interplay here but looking out to 2018 just given - you could had some inventory at good levels in the call that we saw in January and certain markets, how are you looking at propane business in 2018 and I guess the larger business as well?
David Smith: We feel overall pretty good about our business in 2018. I would say that our annual contract season for our NGL supply including propane starts to get in April, so you know we are working on those contracts today as we speak but overall you know I would say that the higher NGL pricing and the dynamics for NGLs today are continue to be fairly strong in 2018.
Operator: Your next question comes from the line of Ben Pham of BMO. Your line is open.
Ben Pham: I wanted to go back to marketing and are you able to talk about the Q1 2018 expectation I think last quarter you mentioned significant higher margins in Q4 and Q1, so I wanted to check if that's still the case of if that real issue maybe change of view on that?
David Smith: Well overall I mean specifically when we talk about the seasonality of our propane business, though we certainly expect we saw strong margins in Q4 for propane and we expect that to continue in Q1. Offsetting that would be seasonally its weaker for isooctane business because the summer months are generally stronger for isooctane because it's driven by summer driving demand. And the other thing I mentioned is that, we did have a slight curtailment in the first part of the year with respect to our isooctane production and sales and that's because of some of the rail service issues that we have been dealing with but certainly not material to our results at this time. So overall, you know it is going to be a strong quarter but this last year I guess with our isooctane business because it's a weaker part of the season.
Ben Pham: And can I ask on crude oil, I mean typically small contribution is there anything going on with more resources looking out more?
David Smith: I think our crude oil business I would expect that to be fairly stable.
Ben Pham: And then some of your commentary take or pay have been talked quite a bit through your prepared remarks, and are you able to quantify where that take or pay exposure is heading to and look out to 2019 business plans?
David Smith: Ben overall it's been increasing for sure. I think we can probably give you a little bit more specific numbers if you're interested in that. With the addition of the investments that we are making in the Base Line Tank Terminal on top of Norlite pipeline and some of the gathering and processing investments, we do expect that the amount of fixed amendments in our overall cash flow will continue to grow gradually.
Operator: Your next question comes from the line of Robert Kwan of RBC. Your line is open.
Robert Kwan: Just in your prepared remarks around Wapiti Phase 2 and Simonette numbers factors. You had mentioned community and safety, I'm just wondering based on where your Wapiti plant is located and the pie project extension you got north river, is there anything that you are seeing that's kind of evolved with respect to proposed facilities closer to the Grand Prairie and how that might better position your facility?
David Smith: I think you know certainly we're well aware of the increased population density as you kind of get close to the Grand Prairie and certainly north side of the river. To-date our discussions with land owners and residents in the area have been extremely positive. Certainly our vision as we look at Wapiti development was to move sour gas away from that area down to an area that is less populated. So consequently our North Wapiti compressed station is really driven around getting that's sour gas away from a more populated area. We think that's a positive for the land owners in the area and I think certainly in our discussions there has been some acknowledgment of that today.
Robert Kwan: Acknowledgment kind of just one thing, are you seeing kind of growing concern with respect to other physical processing plants proposed north of the river or quite differently our producers have you seen them become more interested in just kind of staying away from that aspect and potentially underpinning extension for your facility?
David Smith: Yes, I can't really comment on the other players who are looking at developing infrastructure north of the river. I mean our strategy has been kind of founded around as I described saying, more I can do to pull that sour gas away from a more populated area that should be viewed positively. That certainly been acknowledged and we think that we don't see any issues with advancing our project to the timelines that we communicated over 2019 start up. So that's our strategy going forward and we continue to move down that path.
Robert Kwan: Dean you had mentioned earlier - obviously you are in the negotiations for the start of the next NGL year. Is there any color that you can provide recognizing at still early even if it's just around, is the expectation that the propane side of things will operate same way that it's operated in the past year kind of way indexing and therefore you have that seasonality?
Dean Setoguchi: I really can't provide a lot of color at this point. I would just say that we are certainly well positioned to compete for our NGL supply but again until that the season is complete, those contracts are signed I really can't see much more than that.
Robert Kwan: And maybe just finish, is there anything given the tightness on the oil side of the market around the South Cheecham Terminal. I think originally that was designed more for importing various products and materials but is there anything at work there to try to help producers get oil out of the prevalence?
Dean Setoguchi: I guess I can't elaborate on specific negotiations we are having with anyone but I would say that we are very open for business. It's a very well situated facility and we are - as you know we completed our assets to provide solvents to the Fort Hills shippers - our partners and we continue to look for other opportunities to provide sort of oil sand services to the producers that are up in that area. So that could include crude by rail.
Operator: Your next question comes from the line of Andrew Kuske of Credit Suisse. Your line is open.
Andrew Kuske: I think the question is probably for David. And it's just really on a broader base, when you look at what TransCanada announced yesterday but pretty long duration contracts on those extinguishment. And then they have been very clear about the potential expiration of mainline capacity and bunch of other options that go with that. And it's actually positive for your business in overall the basing, but how do you start to frame the opportunity and - for potential upside coming out of the basin and you asset positioning today.
David Smith: Andrew there is a lot of potential in that question. What we find is, we are not smarter than smarter than anybody else in terms of what the overall look is for natural gas out of the basin and what that means for pricing. Obviously whatever is done to enhance the - eliminate constraints and enhance the access to market, whether that's within the basin or on pipelines like those TransCanada pipeline mainline which has excess capacity today. We think there has been a lot of positive developments if you look back over the last couple of years in terms of improving that situation. How that plays out specifically this year and next year with respect to pricing and volumes it's a little bit difficult for us to predict. Interestingly we saw in 2017 was we didn’t - Keyera's plants were - really weren't affected very much by specific outages but we were affected by the fact that April price was very low in September and October and certain producers chose to shut in production rather than produce at lower price barrels. And we may see similar phenomena for short period of time in 2018 as well. But from where we said it's kind of difficult to predict what the impact would be. I think what I would emphasize is that from a longer term perspective we are very encouraged with the continued improvement in the cost competitiveness of the basin and as long as we can resolve those market access issues, we think that the outlook is very positive for Canada.
Andrew Kuske: And maybe just continuing on - just the duration issue, and with some of the contracts that have been signed in the past and clearly there has been a transition in part of your business wherever you got greater take-or-pay contracts and duration on that. Do you see this is being a broader industry trends this for years. We talked about the U.S. stall model coming into Canada and potentially changing things for the process - more volume at exposure or commodity exposure but things are really gone the other, whether it's longer term agreements, capacity type payments, tool payments. Did you see that trend continuing through yourselves and more take-or-pay longer duration of the take-or-pay contracts?
David Smith: Well on your last point I don't think that we would see that the duration of contracts is likely to increase materially. I think it depends on the nature of services that's provided. Certain types of assets like rail terminals will typical have shorter term contracts associated with them and on the other end some of our condensate transportation capacity arrangements are as long as 25 years. So I don't know - I don't expect that is going to change materially but that's kind of what we see. With respect to your question about whether we're going to see more of it, I would point out that most of the long term contracts that we have are associated with new investments. Typically when we are looking at making a major investment in something like the Norlite pipeline or a new plant, we are looking for some kind of long term volume commitment in order to reduce the volume risk associated with that new capital. It's more challenging to get a producer to sign up to a long term contract on an existing plant that has available capacity. And so in those situations you're likely to continue to see more shorter term contracts and more volume sensitivity. And I don't see that likely changing that whole lot. So that's kind of the way we see it.
Operator: [Operator Instructions] Your next question comes from the line of Robert Catellier of CIBC Capital Markets. Your line is open.
Robert Catellier: Just like a little bit more detail on the rail issues at AEF. Is this issue about access to railcar or is that something else?
Dean Setoguchi: The issue with rail is that, there has been high demand over the last several months for rail service and specifically in the Edmonton Fort Saskatchewan area and that has really affected the service for everybody that operates in that area. What I can say is that, I think we are very well positioned to deal with that with our assets. As you know on the isooctane we rail most of that out of our Edmonton Terminal. I mentioned earlier that the impact to our isooctane business hasn't been material so far. We do have the ability to do other things to manage that service, I mean we are working very closely with provider CT but on top of that we start to trans-loading this week to essentially removing some of our isooctane activity by track over to ADT but we have a lot of track and also 350,000 barrels of storage if you think this will last for a prolonged period, we could repurpose some of the tank capacity there to isooctane if we had to. So I think short term and long term we are working on solutions with our service providers but also the potential utilization of our assets to manage the situation.
Robert Catellier: And I think MD&A that Josephburg went to 24 hours shift, so they were not impacted by this?
Dean Setoguchi: We see everybody has been impacted including our rail service at Josephburg. Again I think it has a minimal impact on our, so far at least on our Q1 results. And a part of that is because we have invested in extra track storage. We have our own rail movers so we can feel and stage all the cars so that when we do get service, it's very is a for our rail provider to come in and hook up and take our cars away. And the other thing is that, we are pipeline connected to our Edmonton Terminal and also down to our gas plant. So we have been utilizing the different facilities again to maximize the deliveries of our propane.
Robert Catellier: And then just I wanted to ask you a little bit about U.S. tax reform. Obviously you don’t have a huge asset position in the U.S. but it is one that’s developing and I’m wondering if the lower tax rate - how do you see that impacting your attractiveness of opportunities there obviously that helps but do you think that there is material impact on your oneness to deploy capital there?
Steven Kroeker: You're right, as it stands right now it is pretty well neutral impact on because of the size of our current U.S. operation. But yes, and as well you are right that on a marginal basis, it does make investments down there more attractive because of lower tax rate but again it doesn’t really change our overall strategy with respect to U.S. We are always open to look at acquisitions but we’ve been – as you heard from David we have always been pretty selective about what to look at and in that respect so no real change to our strategy about how we look at assets in U.S.
Robert Catellier: Actually Steve we didn’t make the acquisitions little bit tougher because of the - tax arbitrage like you may have had being Canadian company is probably narrowed a bit but I think anything you build or own there domestically probably as more economic.
Steven Kroeker: Yes, that's what I am saying. It's certainly more attractive because the after tax cash flow is more attractive down there, as well as you are little bit closer to the local competition in terms of their tax ability as well but on the flipside I just don’t think it’s a material change to our strategy as to how we look at U.S. operations and U.S. acquisition targets.
Operator: Your next question comes from the line of Patrick Canning of National Bank Financial. Your line is open.
Patrick Canning: David or Dean could you expand on the evolution of your crude oil midstream JVs and what opportunities might be looking to help back to any drop off in contributions?
Dean Setoguchi: We had one joint venture that expired at the end of last year but I would just say that we have a very experienced team that continues to look at opportunities around our assets to enhance that business as much as possible.
Patrick Canning: And then maybe I can ask for Strachan, as you bring down the sour gas processing capabilities. Could you just comment on the plan to backfill some of those volumes of sour gas volumes or should we expect it to be material?
Dean Setoguchi: I think you know what we've - over the last number of years we have seen sour gas volumes certainly decline at Strachan and that's really what led us to the decision to shut in the sour gas processing side. The added fact was that the margins that we were making on the sour gas processing were rather modest. So while you might find a volume impact I would suggest that the margin impact of those going away might be a not very significant. When you add to that, the drilling activity as you go up and down that Strachan to Great Valley corridor has been rather robust over this past winter. We've seen outstanding volumes through the facilities coming out of Q4 and certainly looking positive into Q1. So we think there's a lot of opportunities for volumes backfill so much so that we initiated the connection down to Ricinus to help kind of manage volumes through the portfolio. So we are very optimistic as to what that area looks like in the years to come.
David Smith: I'm going to add to that a little bit. I think the question speaks to the flexibility of our network and you know Strachan will - in not too many years be 50 years old and we have invested consistently in all of our plants over the years as circumstances have changed. The reason why our network is has been a successful as it has been because of the diverse geology that we have but that diverse geology can lead to changes in gas composition over time. And I think it's based to the flexibility of our network where we can for a very modest amount of money shift gears at Strachan away from sour gas that it was built for to the most liquids-rich sweet gas which we are seeing as being the focus of activity today. And we can do all that without having to build new capacity and accommodate the producers. So I think it's a very good news story. It's also an example of how we are responding to the changing needs of our customers.
Operator: There are no further questions in the queue. I will turn the call back over to Lavonne Zdunich.
Lavonne Zdunich: Thank you very much everyone for participating today. That completes our year end 2017 conference call. If you have any further questions, please do not hesitate to either contact myself or Nick. Our contact information is in yesterday's release. Again thank you and have a good day.
Operator: This concludes today's conference call. You may now disconnect.